Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Westlake Chemical Corporation's Second Quarter 2011 Earnings Conference Call. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded today, August 2, 2011. I would now like to turn the call over to today's host, Dave Hansen, Westlake's Senior Vice President of Administration. Sir, you may begin.
David Hansen: Thank you very much. Good morning, everyone, and thank you for joining us for the Westlake Chemical Corporation's Second Quarter Conference Call. I am joined today by Albert Chao, our President and CEO; Steve Bender, our Senior Vice President and Chief Financial Officer; and other members of our management team. The agenda for today will be as follows: Albert will first make a few comments regarding Westlake's performance during the second quarter. Steve will then provide you with a more detailed look at our financial and operating results. Albert will conclude with a discussion of recent developments, and then we'll open the call up to questions. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs, as well as assumptions made by, and information currently available to management. These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. Actual results could differ materially based upon factors including: The cyclical nature of the chemical industry; availability, cost and volatility of raw materials, energy and utilities; governmental regulatory actions and political unrest; global economic conditions; industry operating rates; the supply/demand balance for Westlake's products, competitive products and pricing pressures; access to capital markets; technological developments; and other risk factors. Westlake issued earlier this morning a press release with details of our quarterly financial and operating results. This document is available in the Press Release section of our webpage at www.westlake.com. A replay of today's call will be available beginning two hours after completion of this call until 1:00 p.m. Eastern Time on August 9, 2011. The replay may be accessed by dialing the following numbers: domestic callers should dial 1 (888) 286-8010; international callers may access the replay at (617) 801-6888. The access code for both numbers is 26862797. Please note that information reported on this call speaks only as of today, August 2, 2011, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our webpage at www.westlake.com. Now I'd like to turn the call over to Albert, Albert Chao. Albert?
Albert Chao: Thank you, Dave. Good morning, ladies and gentlemen, and thank you for joining us. In this morning's press release, we reported net income for the second quarter of $81 million or $1.21 per diluted share, up considerably from $0.86 per share in the second quarter of 2010. Westlake's operating income of $138 million was substantially higher than the $100 million recorded in the second quarter of 2010. We had a very strong second quarter, although operating income was impact by 3 events: a weather-related power disruption at Lake Charles, Louisiana, that caused an outage of one of our ethylene units; the scheduled turnaround at our Calvert City, Kentucky facility; and the closure of our Springfield, Kentucky pipe manufacturing plant. Despite impact on earnings of these 3 events, our operating margin in the second quarter 2011 was 15%, up from 12% in the second quarter of 2010. The second quarter benefited from higher sales prices for polyethylene, caustic and PVC resin. We also saw increased margins on our value-added polyethylene product mix and higher export volume for PVC resin compared to the second quarter of 2010. While we were presented with several challenges in the second quarter, I'm pleased with the continued strong performance of our Olefins segment and the return to profitability of our Vinyls segment. Now I would like to turn the call over to Steve for a review of the second quarter results. And I'll make a few closing comments before we take questions.
M. Bender: Thank you, Albert, and good morning, everyone. I'll begin today with a brief discussion of our consolidated financial results, followed by a more detailed discussion of our Olefins and Vinyls segment results. Let me begin with our consolidated results. Westlake reported second quarter net income of $81 million or $1.21 per share, compared to a net income of $56.9 million or $0.86 per share in the second quarter of 2010. Our second quarter results include the negative impact on earnings of the 3 events that Albert noted. The combined impact of these events lowered our reported results by approximately $0.29 per share. Sales for the second quarter of 2011 of $925 million were $107 million higher than sales of $818 million reported in the second quarter 2010, driven by higher sales prices, improved PVC sales volumes. Our operating income for the second quarter 2011 was $138 million as compared to an operating income of $100 million in the second quarter 2010 as a result of higher integrated Olefins margins, higher caustic and PVC resin margins and increase in PVC volumes aided by an increase in PVC exports. Export sales volumes of PVC resin in the second quarter of 2011 were significantly higher compared to the same period in 2010 due to lower-cost, U.S.-produced ethylene, providing a boost to Vinyl segment operating income. Westlake's second quarter 2011 net income of $81 million was slightly lower than the first quarter net income of $83.5 million. Sales in the second quarter 2011 of $925 million exceeded first quarter sales of $867 million by $58 million, largely the result of higher average selling prices, partially offset by a decrease in PVC and caustic sales volumes resulting from the Calvert City turnaround. Operating income of $138 million in the second quarter was slightly lower than the operating income of $141 million in the first quarter of 2011 as a result of the 3 events previously mentioned, which impacted operating income by $30 million. Looking at the year-to-date comparison, sales were higher in the first 6 months of 2011 as compared to the first 6 months of 2010 due to higher prices for all of our products. While polyethylene sales volumes were essentially the same for both periods, export sales volumes for PVC resin were significantly higher in the first 6 months of 2011. Operating income in the first 6 months of 2011 more than doubled when compared to the operating income for the same period in 2010 to higher integrated Olefins margins and higher margins on caustic and PVC resin. Now turning to our segment analysis. Let me start with the Olefins segment. The Olefins segment reported operating income of $133 million on sales of $645 million during the second quarter of 2011, compared to an operating income of $111 million on sales of $577 million in the second quarter 2010. The increase in operating income was due to higher prices for Olefin products partially offset by higher feedstock cost. The second quarter of 2011 saw substantially higher feedstock prices than we experienced in the second quarter of 2010. Operating income in the second quarter of 2011 of $133 million was $12 million less than $145 million in operating income in the first quarter of 2011. Integrated Olefins margins were similar in the second quarter compared to the first quarter. However, the difference in operating income was the result of the ethylene unit outage at our Lake Charles facility, which negatively impacted second quarter Olefins operating income by approximately $12 million. Polyethylene demand remained strong in the second quarter. However, we experienced slower polyethylene sales in June as a result of some inventory adjustments in the market. While the polyethylene industry was able to implement price increases of $0.06 a pound early in the quarter due to rise in feedstock cost and rising demand, inventory stock adjustments and lower industry exports led to a price decline of $0.04 a pound in June. During the quarter, ethane feedstock cost rose and ethylene prices also remained elevated as the industry experienced a number of planned and unplanned outages of ethylene units on the Gulf Coast. Despite the elevated feedstock cost, ethane-based ethylene remained more competitive than naphtha-based ethylene throughout the quarter. As to current market conditions, we expect a further decline of polyethylene prices in July. However, the inventory adjustments and the other factors that led to the decline in prices have now run their course. And the industry has announced price increases for August and September due to stronger domestic and global demand and higher domestic ethylene prices. For the first 6 months of 2011, operating earnings for the Olefins segment increased 64%, from the $169 million in the first half of 2010 to $278 million in the first half 2011. The increase in earnings was the result of higher integrated Olefin margins and higher sales volumes. Now turning to the Vinyls segment. The Vinyls segment reported operating income of $10 million in the second quarter, an increase of $21 million over the loss of $11 million reported in the second quarter of 2010. The increase in income was largely due to an increase in caustic prices, an increase in export PVC volume and higher margins. Sales from the Vinyls segment increased $39 million in the second quarter of 2011 compared to the same period in 2010, driven by higher prices for all of our Vinyls products. For the first 6 months of 2011, the Vinyls segment has achieved an operating income of $7 million, compared to a loss of $26 million for the 6 months of 2010. This significant improvement is the result of an increase in caustic prices and the ability to implement price increases for PVC resin of $0.11 per pound to offset the increased cost of feedstock. During this period, the Vinyls segment experienced strong export sales of PVC. And average prices for PVC exports were above average domestic prices. Vinyls segment sales for the first 6 months of 2011 were $542 million compared to $454 million in the first half of 2010. The Vinyls segment operating income improved by $13 million in the second quarter of 2011 compared to the operating loss of $3 million in the first quarter of 2011. The improvement in operating income was the result of higher caustic prices and higher PVC resin export margins. We achieved these higher operating earnings in spite of the $15 million in maintenance costs and the lost production related to the Calvert City turnaround and the $3 million in impairment and other cost related to the closure of a pipe manufacturing facility at Springfield, Kentucky. Our building products margin increased significantly in the second quarter, partially offset by lower sales volumes. Sales for the Vinyls segment of $280 million in the second quarter of 2011 increased $18 million compared to the first quarter as a result of higher prices for PVC resin, building products and caustic. Toward the end of the second quarter, PVC resin exports softened as a result of overseas inventory adjustments. And this trend has continued into the third quarter, hampered by high prices for U.S.-purchased ethylene and chlorine as feedstock for our PVC exports. Caustic demand in the second quarter remained strong, supporting industry price increases. Though the company's caustic sales were lower in the second quarter reflecting the impact of the turnaround at our Calvert City facility, industry caustic prices increased $9 a ton in the second quarter due to tight supply in the U.S. market and supply disruptions due to flooding of the Mississippi River. Now turning to the balance sheet. The summarized statement of cash flows, we generated $125 million in cash from operating activities during the first half of 2011 and spent $69 million in capital expenditures. Our estimate for the full year 2011 capital expenditures is between $190 million and $215 million. Our cash balance, including restricted cash, was $837 million. And our total debt was $765 million at the end of the quarter. The continued strong operating performance matched by Westlake's financial strength where the impetus behind Fitch Rating's recent action to rate our long-term debt investment grade. We continue to focus on projects and business opportunities that will bring greater value to our shareholders, while at the same time continuing our commitment of maintaining our financial strength and flexibility for the future. Now I'd like to turn the call back over to Albert for some closing comments. Albert?
Albert Chao: Thanks, Steve. Our outlook remains positive as we continue to see good demand for polyethylene, benefiting from our advantaged position as a natural-gas-based producer of ethylene and a manufacturer of a value-added polyethylene product mix. Our Vinyls business also benefits of access to low-cost gas-based ethylene, continued PVC export opportunities and a healthy chlor-alkali market. In the near-term, we see higher prices for our feedstocks as result of strong demand for ethane and ethylene in the U.S. We expect ethane prices to trend down due to several planned ethylene industry maintenance outages later in the second half of the year which will reduce the demand for ethane, while additional ethane fractionation facilities will be brought online in the fourth quarter, increasing the supply of ethane. Polyethylene prices trended down in June and July due to customer inventory adjustments and reduced exports. While the industry has announced price increases for August and September, reflecting stronger domestic and global demand and a tightening of the supply of ethylene as a result of the planned industry maintenance outages. While we have seen exports for PVC increase in July, the higher-cost ethylene we saw in the second quarter will continue to impact the volume of export of PVC resin and polyethylene in the coming months. Now let me highlight for you some of the catalysts that we believe will provide a good structural basis for our future earnings. First, we see a growing and available abundant supply of natural gas and natural gas liquids from shale gas production for many years, making U.S. ethylene derivatives globally competitive, especially versus Asian and European naphtha-based ethylene producers. We see these natural gas liquid supply bring a growing supply of ethane starting later this year. Industry sources estimate 120,000 barrels of additional ethane per day will be brought online late in 2011. Second, we have a value-added polyethylene product mix that's fully integrated into ethylene, which give us cost-competitiveness and a customer orientation to deliver on the value of the specialty polyethylene. Our polyethylene sales mix is heavily weighted towards the higher-margin, low-density polyethylene and specialty grades such as vinyl acetate and acrylate copolymers, waxes and tie-layer resins. Third, we are actively working toward our commitment to expand the amount of integration of our businesses. We have announced plans to expand our ethylene capacity in 2012 and 2014, which will result in the company being fully integrated in our ethylene requirements. We have also begun the construction of our chlor-alkali facility to meet our chlorine requirements. And we are studying the potential conversion of our propane ethylene cracker to ethane at Calvert City, Kentucky, further reducing our ethylene cost. The fourth catalyst is our focus on financial strength and flexibility. We have the financial strength to fund these growth opportunities and a commitment to maintain that financial flexibility in the future. We are pleased with the company's performance this quarter, and we are confident these catalysts for growth will prepare the company well for the future. Thank you very much. Now let me turn the call over to Dave Hansen.
David Hansen: Thank you, Albert. Before we begin taking questions, I would like to remind you that a replay of this teleconference will be available starting 2 hours after we conclude the call. We will provide that number again at the end of the call. Operator, we will now take questions.
Operator: [Operator Instructions] And our first question comes from the line of James Sheehan with Deutsche Bank.
James Sheehan - Deutsche Bank AG: So I was just wondering if you could comment on the PVC resin situation during the quarter. We're you able to take advantage of competitor outages during the quarter to boost your own volumes?
Albert Chao: Yes. We sold our production. As we said, we had a planned turnaround during the second quarter, so our volume of PVC for sale was limited.
James Sheehan - Deutsche Bank AG: Okay. And just on your outlook for ethane prices. I know you expect the prices to come down a little bit in the fourth quarter because of the increased fractionation capacity. But in the interim, do you see supply/demand for ethane remaining pretty tight and for the prices to be a little bit elevated?
Albert Chao: Yes. We mentioned that there are some planned turnarounds in the second half of this year. So they will reduce the demand for ethane somewhat. And as I said earlier, there are new fractionation capacities coming online, so that should also improve the pressure on pricing for ethane.
James Sheehan - Deutsche Bank AG: Okay. And Steve, what should we expect for your interest expense in Q3 and Q4?
M. Bender: There's no change in the debt outstanding, and so the run rate that we have in the second quarter ought to be the same run rate for the next 2 quarters.
Operator: And our next question comes from the line of Brian Maguire with Goldman Sachs.
Brian Maguire - Goldman Sachs Group Inc.: I was hoping you could expand a little bit on your comment on kind of the inter-quarter trends in PVC resin for export. And we've kind of heard similar comments from other companies about declining demand. And trying to figure out how much of it is actually just eating the cost-competitiveness of U.S. PVC waning versus just inventory restocking or just lower baseline demand in a lot of export regions. You would have a sense for that? And then kind of related to that, what's your kind of outlook for PVC pricing? It's held in there pretty good despite the lower volumes. But at some point, I think there's an expectation that, that will have to give a little bit as well.
Albert Chao: Yes, I think there was some PVC inventory adjustments in the second quarter. And so you saw prices came down late in Asia, and demand also softened with the inventory adjustment. We believe that the adjustment's over and demand has come back. Even though price is lower than before the adjustments, I think demand is healthy. As far as the U.S. PVC is concerned, some of the industry have announced price increases, for August, $0.02, effective August 1, $0.02 a pound. And for September 1, $0.03 a pound. This is partly due to the increase in feedstock cost in ethylene and chlorine as well. So we believe that the U.S. demand for PVC is stable and the prices should move up.
Brian Maguire - Goldman Sachs Group Inc.: Got it. So just following up on the Vinyls segment. The profitability there, I guess if you backed out the about $15 million of lost EBIT opportunity from the turnarounds and then a little bit more for the cost to close the PVC facility, it's one of the best quarters in years. You probably have to go back to 2006 or 2008. And I'm just trying to get a sense from you guys what your expectation is there, going forward. Is this a level that you can -- do you think you can build on sequentially from here? Or with caustic prices having gone so far so fast. Is it at kind of a level you think might be plateauing for the division for a little while?
Albert Chao: As far as caustic price is concerned, I don't believe there are other announced industry price increases out. There has been $50 or $60 previous price announcement which has yet to be implemented. From the export PVC pricing situation as mentioned earlier, second quarter, we saw PVC prices in expansion export market has adjusted downwards. And now with the higher ethylene price, it'll have an impact on the volume of PVC exports from the U.S.
Brian Maguire - Goldman Sachs Group Inc.: I got it. And maybe just one last one if I might. Steve could you tell us what the FIFO benefit for the quarter was?
M. Bender: Yes. For the quarter, there was a $0.15 benefit this quarter.
Operator: And our next question comes the line of Kevin McCarthy with Bank of America Merrill Lynch.
Aleksey Yefremov - BofA Merrill Lynch: This is Alex Yefremov for Kevin. Albert, do you see an improvement in export demand for U.S. polyethylene resin so far in the third quarter?
Albert Chao: I think the demand for polyethylene overseas is similar to what I said earlier about PVC. There was some inventory adjustments early on this year, especially in Chinese Asian markets. And that has pretty much run its course. Now the demand is stable, the question is with the high U.S. ethylene prices, whether certain grade U.S. polyethylene can be competitive on the overseas market.
Aleksey Yefremov - BofA Merrill Lynch: Are they competitive at current prices, or U.S. prices may need to come down?
Albert Chao: Depending on the grade. If you use market price ethylene, then some of the grades will not be competitive.
Aleksey Yefremov - BofA Merrill Lynch: Just going back to PVC. On balance, do you expect your Vinyls segment volumes to be up or flat or down sequentially in the third quarter?
Albert Chao: Well, generally speaking, the second and third quarter are seasonally strong months. And since we do not have a turnaround, we will expect volumes to be better than second quarter.
Aleksey Yefremov - BofA Merrill Lynch: Okay, great. And finally, if I may. There is some concern that the price premium for LDP resin versus other grades may decline. What is your outlook for that? Do you think you can sustain the current premium over the next couple of quarters?
Albert Chao: Yes. We believe the premiums of LD over, say, linear low, it moves up and down a bit, but definitely LDP has physical properties that's different from linear low that's preferred. So LDP sales at a premium. As to month-to-month, the premium may go up and down with linear low, but it will definitely -- premium will be there.
Operator: And our next question comes from the line of Andy Cash with UBS.
Andrew Cash - UBS Investment Bank: Yes, Albert, just a couple of things. One, you said I think, did you say June PVC exports had increased? And if you did, was that year-over-year, or was that from earlier?
Albert Chao: I think we're comparing June or July versus the previous months.
Andrew Cash - UBS Investment Bank: Okay, so sequentially saw an improvement. Now when we look at the U.S. GDP ISM numbers, they're looking weak here. I'm assuming that you're basing your positive comments on continued strength outside the United States, particularly the Far East. And if you are, what is it that you're seeing that give you optimism, assuming that this is just an inventory correction and not some slowdown in, in-use demand, especially in Asia.
Albert Chao: Yes. We believe our global demand is still reasonably strong. And if you add to that competitive feedstocks, it'll be quite competitive on a global basis going forward.
Andrew Cash - UBS Investment Bank: What is it with the inventory correction? You think it was just inventory correction and not something that's more related to demand? Because the export numbers were higher in the first quarter and I thought that given seasonal demand, that if anything, you'd see export actually pick up a bit later in the year. But they've actually gone the other way.
Albert Chao: Yes, I think early on in the second quarter, with the sharp drop in oil prices, which led to people de-stocking inventory, more so in Asia than, say, in U.S. And we believe those sentiments has finished. The Chinese government credit tightening has run its course, so there's now a more steady level of demand. But you don't have the rush to buy speculative products. We don't have those rush, but it's more of a steady demand for its needs.
Andrew Cash - UBS Investment Bank: And you're seeing that in your fabrication business in China?
Albert Chao: Yes.
Andrew Cash - UBS Investment Bank: So the way you see it from your interest in China, you're seeing increase in year-over-year demand now even after the timing is over with?
Albert Chao: We believe the demand is still there. Not as high as before, but demand is still there.
Andrew Cash - UBS Investment Bank: Demand is still there, but it's a little bit less than it used to be as far as on a year-over-year basis?
Albert Chao: In China?
Andrew Cash - UBS Investment Bank: Yes.
Albert Chao: I think there's still growth in China, just albeit a bit of slower rate that in the past.
Operator: And our next question comes the line of Jeff Zekauskas with JP Morgan.
Jeffrey Zekauskas - JP Morgan Chase & Co: One of the themes of your conference call has been your expectations that there would be enhanced ethane supply. And through the first 5 months of the year, in rough terms, ethane supply in the United States is only up about 6.5%. Are you surprised by that rate of growth? Would you have expected it to be larger, or was that in line with your forecasts?
Albert Chao: No. We were not surprised. I think the growth in ethane was impacted by the fractionation capacities as well as the operating rates of existing fractionation plants. There was some unplanned outages in some existing fractionation plans on the Gulf Coast. And as we said earlier, there are more, 120,000 barrels a day of additional ethane fractionated capacity coming on line later this year. And for the next 24 months, there are approximately 900,000 barrels of fractionation capacity coming online, both primarily in the Gulf Coast and some in the Marcellus area. And there will be upwards of 360,000 barrels a day of additional ethane available. So we believe that over the next 2 years, there'll be a lot more ethane coming out of the market. And increased demand of ethane, we believe will be not as much as that.
Jeffrey Zekauskas - JP Morgan Chase & Co: I understand your point. In December, I think we were at gas plant production of around 880,000 barrels. And right now in May, we were at 930,000? So even if you factor out some of the outages earlier in the year, it's still only about 5% or 6% increase. I guess I'm surprised, but we'll see what happens later in the year. Can you talk about pricing for PVC in the offshore markets and how that's changed over the past month? Have the ships been small or large, or how would you frame that for price of PVC in the various offshore markets?
Albert Chao: Well, let's look at Asia. I think PVC price probably hit a high in May and dropped since May. And we believe that it's flattened out in June or July and moving up.
Jeffrey Zekauskas - JP Morgan Chase & Co: Do you think it's dropped $100 a ton or $200 or $300, or is it too hard to quantify?
Albert Chao: It's about $100 a ton.
M. Bender: Yes.
Operator: And our next question comes from the line of Hassan Ahmed with Alembic Global.
Hassan Ahmed - Alembic Global Advisors: Albert, question, just wanted to -- obviously it was a bit of a funny quarter in terms of we obviously started very strong and then there was all this chatter about an inventory correction and the like. And here we are today, with Asian spot pricing sort of over the last couple of weeks going up again. And yourselves, you pointed to obviously the inventory correction kind of being behind us now, and a couple of other companies said similar things as well. I just wanted sort of your view about what gives you that sort of heightened confidence about that direction kind of being behind us. Are inventory levels literally at barebone minimum levels now? Or said differently, let's say if naphtha prices fell a bit more and oil came down, could there be further de-stocking?
Albert Chao: Yes. We believe that the global demand for petrochemical commodity plastics are quite reasonably strong in line with the global economic growth. When oil prices start to come down, traders and speculators start to buy less or start to selling their stock, which caused the inventory adjustments corrections. But the traders and speculators, they do not have all of inventory under hand. So over the course of several months, we believe that those de-stockings is over, especially when oil price in Brent has gone back to $118. So the de-stocking is over. People needs to purchase, meet its normal demand, and prices gradually move back to a more reasonable level, especially when the rest of the world are using oil-derived naphtha to produce ethylene, so their cash cost is much higher to support the higher price of petrochemical products on the global basis.
Hassan Ahmed - Alembic Global Advisors: Fair enough. Now a sort of medium to longer term question. Obviously, the Chinese sort of 5-year plan was recently put in place, the new one. And there was a lot of chatter around a push towards coal to olefin and methanol to olefin sort of facilities, which obviously would translate -- if all these facilities do happen. That obviously would substantially raise coal demand. And I would imagine that coal prices have rallied a fair bit in China already. I'd like to think that they go up a bit more. So how should we thinking about on the Vinyl side of things, your sort of medium to longer-term export opportunity with sort of shale, obviously, economics kicking in, as it sort of relates to the Chinese market in particular?
Albert Chao: That's a very good question. I think China is a major importer of coal in the world. And import of coal is quite expensive. The coal to methanol or olefins or PVC, the process, especially coal to methanol is a new process. It's very capital intensive. It requires a lot of water which China, in certain areas of China, are very short of. So we don't believe it'll have a major impact on the Vinyl business. The coal to Vinyl through acetylene, it is a high-energy-intensive, high-polluting, have a mercury catalyst, environmental problems. So especially those coastal PVC plants which require purchases of carbide, those plants today are not competitive. The only competitive plants are the integrated coal to Vinyl business which are mostly in the hinterlands of China, whether it's hinter-Mongolia or Xinjiang and at a high cost to bring the products to the coastline. So we don't believe that China will be a major exporter of Vinyls in the future.
Operator: [Operator Instructions] And our next question comes from the line of Charles Neivert with Dahlman Rose.
Charles Neivert - Dahlman Rose & Company, LLC: Just a couple of real quick questions. In terms of the low density linear low price differential, did we see a little bit of compression during the course of the second quarter? And if we did, is it starting to re-expand again yet, as we've seen a little bit of a pick-up, or is it still where it was? I know we talked recently that had gotten pretty extended, but my understanding was some people had begun to switch away where they could because that price differential got so great.
Albert Chao: As I said earlier, the premium difference between LDPE and linear low, they do fluctuate. And the Trader report said, whether it's the June or July months, there's probably $0.02 a pound narrowing of that gap. It could happen and it could expand that again. I think really it's people's customers' view of the physical property differences between LDP and linear low and the supply/demand of each of those products that determine the price premium. As you know, there are no new overlay LDP plant being built around the world for many years now. So the overlay LDPE, which is 80% of Westlake's LDP capacity, is a specialty polyethylene.
Charles Neivert - Dahlman Rose & Company, LLC: Okay. And can you go over the capacity expansions you've talked about on your ethylene side? I mean, as a company, you've talked about by '14, you're going to be basically ethylene-balanced. And based on some of the numbers I've got, it looks like you would need, round numbers, in the 900,000 to 1 billion pound range in total. Is that the right number, and is that what we should be expecting in total by the end of '14 from the crackers you have? And I guess that would come across all 3 of them. All right. Is the expectation that the Calvert City cracker will get bigger as you make the switch to ethane? Will there be some capacity added there as well?
Albert Chao: Yes. Actually, if you look at capacities of our ethylene and downstream derivative plants, we are short about 500 million pounds of ethylene. And the first turnaround we have, which is second half of next year, 2012, we plan to expand one of our ethylene plant in Lake Charles about by 230 million to 240 million pounds. And we plan to expand the second ethylene plant at Lake Charles in the second half of 2014, which we hope to be completely integrated and to get another 250 million pounds or so of ethylene from that expansion. So by the end of 2014, we should be fully integrated with all our ethylene needs. As far as Calvert City concerned, currently, it use propane to produce ethylene, and we're waiting for Marcellus ethylene pipeline to bring ethane, sorry, Marcellus ethane pipeline to bring ethane from Marcellus down to the Gulf Coast. And we hope it will tap into those pipelines to bring ethane to Calvert City. And once we convert from propane to ethane, there's potential for incremental debottlenecks some capacity at Calvert City.
Operator: And our next question comes the line of Don Carson with Susquehanna.
Unknown Analyst - : This is Bobby Jornas [ph] for Don Carson. With regard to the caustic soda price increases you saw during the quarter, I guess it was a total of about $100 per short ton that went through. At least it should have been a benchmark pricing. About how much of that would you say you got in the second quarter? And do you think that will be I guess somewhat of a tailwind in the third quarter, assuming that none of the, I guess, additional price increases go through?
Albert Chao: Yes. We believe we got most of the price increases in the second quarter. Maybe there's a little bit out in the third quarter, but we think most of that has gone into -- by the end of second quarter.
Unknown Analyst - : Right. And then what's your take on the, I guess, the proposed $15 to $25 per short ton caustic increases that are on the table? Any insight into how those negotiations are going?
Albert Chao: Yes. There was announcement made for about $50, $60 a ton caustic price increase. And those are not being implement yet. They're still on the table.
Operator: And we have a follow-up question from the line of James Sheehan with Deutsche Bank.
James Sheehan - Deutsche Bank AG: Steve, I'm just wondering if you could give us a little color on the FIFO impact for the quarter. Was that all in Olefins, or maybe you could explain how that breaks down a little bit?
M. Bender: We don't break down the benefit, but the $0.15 that you saw on the quarter benefit is there. But we don't typically break that down by segment.
James Sheehan - Deutsche Bank AG: And it just relates to the movement in ethane prices. Is that the main driver for it? And how did it work out this quarter?
M. Bender: Yes. The main drivers, of course, are feedstocks, so you're going to see a driver based on feedstocks but also on finished products. The driver here is, for FIFO, is our finished products and not really the feedstock. So when you think about the drivers behind that, you're going to see ethane and propane drive up the finished goods, and finished goods of course be resin, both PVC resin and PE resin. So again, that's going to be spread over both segments. But we don't break it out. But obviously in an upward move, and if you use ethane as an indicator of that upward move in feedstocks or ethylene, since we're a buyer of ethylene, you're going to get a benefit quarter-to-quarter, and we did this quarter.
Operator: Ladies and gentlemen, with no further questions in the queue, this concludes today's question and answer session. I would now like to turn the call over to Mr. Dave Hansen for closing remarks.
David Hansen: We'd like to thank you very much for participating in today's call. And we hope you will be able to join us for our next conference call to discuss our third quarter 2011 results. Thank you very much and have a great day.
Operator: Thank you for participating in today's Westlake Chemical Corporation Second Quarter Earnings Conference Call. This concludes today's presentation and you may now disconnect. Have a good day.